Operator: Good day, and thank you for standing by. Welcome to the Polestar Business and Outlook Update conference call. At this time all participants are in listen-only mode. After the speaker's presentation there will be the question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded.  I would now like to hand the conference over to our first speaker today, Bojana Flint. Please go ahead. 
Bojana Flint : Hello everyone. I'm Bojana Flint from Polestar Investor Relations. Thank you for joining Polestar's Business and Outlook Update call. Joining me today are Thomas Ingenlath, our CEO, and Per Ansgar, our CFO.  Before handing over the call to Thomas, I would like to remind participants that some of our comments today will be considered forward-looking statements under U.S. Federal Securities Laws and are subject to numerous risks and uncertainties that may cause Polestar's actual results to differ materially from what we have been communicated.  These forward-looking statements include, but are not limited to statements regarding the future financial performance of the company, production and delivery volumes, near-term outlook and medium-term targets, fundraising and funding requirements, macroeconomic and industry trends, company initiatives and other future events.  Forward-looking statements made today are effective only as of today, and Polestar undertakes no obligation to update any of its forward-looking statements. For a discussion of some of the factors that could cause our actual results to differ, please review the risk factors contained in our SEC filings.  As Polestar is adjusting the release date for the 2023 preliminary unaudited financial and operational results to a later date, in order to complete the first full year of compliance required by the Sarbanes-Oxley Act of 2002, we won't be in a position to discuss the matters pertaining to those results today. With that, I'd like to turn the call over to Thomas. Please go ahead. 
Thomas Ingenlath : Yeah, thank you, Bojana. Good morning, everybody. Good afternoon. Thank you for joining our call today. And as Bojana mentioned, I'm sitting here together with Per Ansgar, who joined our company in January as the new CFO.  I know probably some of you have met before, but of course this is our first analyst and investor call together. And yeah, I'm delighted to have you here with us, Per, and of course happy for you to have joined us. Please, if you could do a brief introduction of yourself. 
Per Ansgar : Yeah, thank you very much, Thomas, and good morning and good afternoon to everyone here. When Thomas approached me, not so long time ago, I was very happy and excited to get the question. I have been following Polestar quite a long time, and I think Polestar is a very interesting and great brand and I definitely believe in Polestar's future. I have close to 30 years in the automotive industry, in Volvo Cars, Ford Motor Company and also in Geely. So with that experience, I think I can add quite a lot to the Polestar business. And I've also seen of course, Polestar from those angles quite a lot.  So I am very well aware of what we are doing here and what the future looks like. I know quite a lot of the people in the team here, so I'm happy to work with Thomas and his team, and I will also look forward to interacting with you going forward here.  And by that, let me hand back over to Thomas. 
Thomas Ingenlath : Yeah, thanks Per. Yesterday, we have made announcements that are very important for the future of Polestar, and I will start here today with the funding part.  Now as you know, since we presented in November the strengthened business plan, we have been very clear that we will require $1.3 billion in additional external funding to reach that cash flow breakeven moment in 2025. These were the two really main important anchor points of this announcement.  And we always said that, yes, we are actually making good progress when it comes to this external funding. And of course, you can imagine, very happy now that yesterday we could announce the secured syndicate of leading global banks that comes together to approximately $1 billion through a three-year loan facility. And that represents of course a very strong statement of confidence in Polestar and in our future.  Now, with this majority of the required funding secured, we will now focus on delivering on the business plan, including the cash flow breakeven and second important part, the high teens gross margins in 2025.  Alongside the funding, we set out other key actions within the plan, and I want to update you on our progress on those. We will benefit from a richer product mix, obviously, with the two SUVs coming in with high margins. And Polestar 4 sales are accelerating around the world. Polestar 3 is now in production in Chengdu. And on both cars, we will offer greater personalization for the customers, increased packs and options. And with that, of course, that will lead as well to higher margins in this premium luxury segment.  It doesn't stop here. We have the Polestar 5 that will be in production next year, and the prototype manufacturing is accelerating over the course of 2024, leading to the start of production in 2025.  The expansion of our manufacturing footprint is on track. We have hit important production milestones for both the Polestar 3 in South Carolina, U.S., and for the Polestar 4 in Busan, South Korea. Both developments, they are of course very important steps for us to create that more diversified and de-risked manufacturing footprint, which will, on one hand, improve profitability in some of our core markets such as U.S., but as well as I said, de-risk our company Polestar.  Marketing distribution, we are making good progress. We have advancing efforts in optimizing our sales footprint to improve the profitability as we scale, of course, now with the cars in our portfolio, scaling the business now significantly. This work is led by Kristian Elvefors, who is our new Head of Sales, joined as well earlier this year together with Per, and he has made already in very short time lots of progress, for example, in Europe, where we are shifting some countries from a direct to an importer model, and in the U.S., where we are transitioning towards a wholesale model.  Cost management, of course, remains a priority, and our efforts are delivering results. In summer last year, we announced our first round of cost optimization and a 10% headcount reduction, and now Per is driving the work here even further, and we recently announced an additional 15% headcount reduction, and of course Per is always focused on the CapEx, working capital inventory management, all in order to become leaner and more efficient as we continue to grow.  Now, before we move to the outlook, let me say a couple of words about last week's announcement regarding the future ownership structure. First and foremost, of course, very pleased to have Geely Sweden now as a major shareholder.  It's a more independent, a stronger Polestar, the position we are in now with having Geely in the ecosystem. And as Geely has stated, we will have of course stronger technological collaboration that has developed over the course of our product development very naturally over the last year, but they are also confirmed, of course, the ongoing financial and operation commitment to Polestar, including future fundraising activities.  We welcome new shareholders, both institutional and retail, and of course, we maintain our great relationships with Volvo Cars. Volvo Cars will retain 18% stake in Polestar, and on top of that, they have extended the shareholder loan by 18 months to the end of 2028, which is, of course, a clear sign of their continued trust and belief in our future.  So, let me hand over now again back to Per to give an update on the ‘24 outlook. 
Per Ansgar : Yeah, thank you, Thomas, and as you heard, Thomas described a lot on our production and ramp up of Polestar 3 and Polestar 4. We have started production of Polestar 3 in China. Polestar 4 has also started production, and we are delivering that to our Chinese market.  Of course, now with lead times and logistics and also expanding to different markets of the world, we will see the global deliveries of those cars to commence in the summer here. And obviously, right now we are fully focused on doing the final investment for those cars, building up the production capacity, and also launching activities to secure strong sales in the second half of the year.  Of course, now you understand that this year will be basically two different characters. The first half of the year will predominantly be based on Polestar 2 sales, while the second half of the year will be completely different with the actions we have taken, both on the cost side, but of course, much more importantly so, on the deliveries of the two high margin SUVs. This combination will give a volume momentum and drive higher margins into the second half of the year.  And as we guided yesterday in our release, by the end of this year, we expect the volume growth that supports the 2025 targets on the volumes, and we also expect a double-digit gross profit margin in the later part of this year.  With that, let me hand back to Thomas for concluding remarks, and then we can go on to your questions. 
Thomas Ingenlath : Yeah, thanks Per. So Polestar 3 production has started. Preparations in the U.S. plant, the second manufacturing footprint, are in full swing. Polestar 4 sales are picking up rapidly. Customers are falling in love with Polestar 4. And Polestar 5 final prototype series are being built this year in that purpose-built factory dedicated to this sports car aluminum bonded technology. We have secured funding we announced yesterday, and three cars in production. So we're making really major progress this year. Two words, cash flow breakeven in 2025.  Our model lineup positions Polestar as the performance car brand in the electric age, and with the news of yesterday, we look with great, great confidence into the future of our company.  So, with that, I'll hand over to the operator for the Q&A session. 
Operator: Thank you so much. [Operator Instructions]. And now we're going to take our first question, and it comes from the line of Tobias Beith from Redburn Atlantic. Your line is open, please ask your question. 
Tobias Beith : Thomas, Per, Bojana, good afternoon, and thank you for taking my questions. Pages 87 through 91 of the facilities agreement disclosed on Form 6-K yesterday outlined the covenants on the new debt. Given volume declined sequentially in 4Q ’23, despite having the full effect of Polestar 2 refresh, and that retail sales in January appear to be weaker year-on-year. What gives you confidence that you are able to meet minimum revenue threshold of $5.4 billion this year, which you estimate is equivalent to retail sales of about 100,000 units? 
Per Ansgar: Yeah, this is Per, I can take that question. Obviously, when we closed the club loan, which we have been very happy to get, we are of course aware of the covenants, and the covenants are built on the business plan that we presented late last year. That business plan took into account the somewhat more difficult BEV market. So this is completely in line with our expectations. We don't see a problem from that perspective. 
Tobias Beith : Okay, understood. On a pro forma basis, assuming all outstanding credit facilities are drawn, I calculate that Polestar can onboard about $1 billion of new debt without breaching the total indebtedness covenant. Is the plan now to raise incremental capital via equity and use the headroom for refinancing and resizing the short term working capital facilities outstanding? 
Per Ansgar: Yeah, as we said before, when we presented our business plan late last year, we talked about getting more money into the company, a combination of loans and equity. Now we have almost $1 billion of loans. Obviously, we are looking into more equity. If you ask me as a CFO, would I be happy to have significantly more equity? Yes, I would like to have that. So we are preparing ourselves to fund more equity as soon as we think it's the right time to do that. 
Thomas Ingenlath: Tobias, Thomas here. About the right time, I mean, obviously the order that this came now with the debt financing now and us progressing the company. This year, the two SUVs coming to the business, really using now the system that we have installed in the sales organization in all the 23 countries.  Of course, we feel that that year will be very important for Polestar to develop as a company, to actually prove the points that we have been always making about the advantage of a S-supplied model and that our company will, with the three models in our lineup, be in a much better position to actually portray that successful business model. And we are feeling much more confident that the equity round at that point in time will be a very good time to address this question. 
Tobias Beith : All right, thanks. And just one last question. How does Polestar think about branding? If I have a look in China, for example, the new Polestar 4 is where Geely, badging at the rear. Do you think this causes confusion? 
Thomas Ingenlath: Since it's not a badging, it's a principle that the car industry is very familiar with. We are sharing technology with Volvo. We are sharing technology with Geely. We are building our Polestar 3 on technology that we share together with the EX90.  I think the proof point of us building a very strong identity as a Scandinavian design brand with our very unique technology features. Obviously always very customer oriented, technology that you can experience. And the Polestar 4 as a highlight, I mean really introducing the virtual rear window with a much, much better rear view through the camera view than through the very limited view that you have through a rear window. These are unique features that, of course, make the brand shine.  I'm certainly very much driving the strong brand expression of each in our cars supporting that. And when you see how the Polestar 4 shines as a star in shows where people are very, very pleased about, I would say, have very good comments about how the car looks, how the car puts together a very attractive offer to the customers. And I certainly think that especially the Polestar 4 does a great job for our brand and positioning and offer. 
Tobias Beith : All right. Appreciate the answers. Thanks all. 
Operator: Thank you. Now we're going to take our next question. Just give us a moment. And the next question comes to the line of Alex Potter from Piper Sandler. Your line is open. Please ask your question. 
Alex Potter : Perfect. Thanks very much. So maybe the first question is on the headcount reductions. I'd be interested in hearing, I guess, the job functions that you are going to be reducing head count in. What had these folks been working on and what sacrifices, operational sacrifices, do you think you'll be making now that they will no longer be with the company? 
Thomas Ingenlath: Yeah, a little bit two-fold answer here. I mean, big time, this is a fairly general reduction in order to drive efficiencies. A company that has been growing that fast as Polestar, I think even every company, of course. I mean, if you look into it, you have this potential to drive efficiencies, so that is not an unknown tool.  And as I said, and unfortunate this management for the organization having said that, and each and every individual, having said that, it is not bad to once in a while actually squeeze its efficiencies and get this higher performance out of the company.  Having said that, there are certain elements of the built-up phase within Polestar, which of course reached a certain degree of completion and we are turning towards a different era in Polestar. And that is after building up all the tools and all the systems. We are of course now going into the phase we are using them, and of course, the strengthening of what it takes to sell the cars, to actually be out there in the market and drive profitable sales is what we concentrate on now.  And for example, building up a digital system that supports this, is of course rather in the completion phase. And of course, there you have probably a higher portion than the 15% of the head count reduction that you can execute. 
Alex Potter : Okay. That actually is a good segue into my next question. You mentioned in your prepared remarks, a focus on the sales channel. I think you mentioned something about going to a wholesale model in the United States. Can you elaborate a little bit on how your go-to-market strategy is changing or growing? 
Thomas Ingenlath: Yeah, I'd love to do that. To the U.S., in the very beginning, we took the decision to not go for the 100% direct sales model as we had it in the rest of the world in the U.S., because we just simply felt it would hinder us to go fast to market with all the lawsuits and whatever that would have been connected to pushing that through.  So we indeed already had kind of a hybrid model working with dealers that sell our cars in a more traditional wholesale way, but we implemented still and hold on to some direct sales principles that we had here in Europe, and we actually found that that is a very inefficient combination.  In the case where we have the dealers out there, we really embrace now that we use that to the full benefit of that wholesale model and really don't try to make a mish-mash, but to go for this very clear principle there.  In the rest of the world, especially of course now here in Europe, we have our direct sales model. We see that the fairly theoretical idea of the beginning needs the evolvement, the evolution that we actually enable a certain degree of higher autonomy within the space, less central steering, a bit more responsibility into the markets and into the individual spaces just in order to drive performance. And we are very convinced that Kristian will drive this into a very successful business model for us. So there's definitely a big, big plus to be gained working on this side. 
Alex Potter : Okay, excellent. Thanks. Maybe one last one. And maybe it's a slightly unfair question, because Polestar 4 hasn't really been in the market for very long yet. But I know that you had mentioned Polestar 4 was going to be a major tool, especially in China and obviously it's being produced in China. So any of maybe the initial reaction, anything you can say about how Polestar 4 is being received specifically in the Chinese market? Thanks. 
Thomas Ingenlath: Yeah, the question is a bit early because of course, it's at the moment in the phase where we see how journalists test drive results give feedback for us. While for the sales, of course, this is still a bit too early to have a conclusion on that. We have from the test drives, from the feedback of all the journalists, all the opinion leaders there in China.  And I say it now, it's surprising, because this car gets a lot, a lot of credit for being actually a performance car, which we shouldn't be surprised about, because that's what we are, a performance car brand. But obviously this was never before that much in the focus in China. And that they actually see now, the actually great attribute and the performance of this car. And what we made out of this technology in terms of being a performance car, I think it's a very, very good starting point.  Why that second element, which we think will be very crucial as well, is not quite as dominant yet, and that is the Polestar OS, the software index car, and its combination to the technology that we bring through the JV with Meizu, the mobile phone company. I think it's as well very clear the mobile phone is in the event just in front of Beijing Motor Show in April, coming to launch. So that element is actually going to be deployed only in the very near future. So I think then this smart device aspect of the Polestar 4 having this full integration of its own phone will be much more tangible and that experience is still to come.  So we definitely see this market now building up. They have to do a lot of work in terms of building out the network. So the JV is very busy in launching the product, launching the phone, and of course investing and building into the sales network of Polestar in China, but Polestar 4, first reaction of journalists and people who drove the car, very positive. 
Alex Potter: Great. Thanks everyone. 
Operator: Thank you. Now we're going to take our next question. Just give us a moment. And the next question comes from Winnie Dong from Deutsche Bank. Your line is open, please ask your question. 
Winnie Dong : Hi. Thanks so much for taking my question. I was wondering if you can specifically comment on the order pattern or the revenue environment that you are seeing specifically for Polestar 2 for the year, given that a large quantity of volume for this year is going to be coming from that vehicle, and Polestar 3 and 4 in the second half. So I was wondering if you can maybe basically comment on the demand environment for that one. 
A - Thomas Ingenlath: Excuse me, we didn't understand here, nobody in the room, which pattern? We just couldn't hear it properly. 
Bojana Flint: Winnie, is it the quarterly phasing? Is that what you were asking? 
Winnie Dong: Just the demand environment for that vehicle and order trends for that vehicle. 
Thomas Ingenlath: Polestar 2, you're right. 
Winnie Dong: Polestar 2, yes. 
Thomas Ingenlath: Well, Polestar 2 is good. We have obviously now this year, a full year of the upgraded Polestar 2. And what we see is that it's equally working on one hand, the long, long range that we achieve with the rear wheel drive, very positive reception for that. But at the same time, and especially since we made this now a very competitive offer, kind of like, okay, either you take the range, longest in the rear wheel, or you go for the higher performance in the four wheel drive. That's something that is finding great interest.  But I would love to emphasize as well one thing. Obviously in 2023, our company Polestar, was very dependent on that one car, and we were very much interested in selling a very high number of Polestar 2, which of course in a difficult environment and us being very careful about the margins led us to a situation which was volume-wise of course, always a bit tricky. That's totally different in 2024. We have a year, as Per explained, which is a bit split between first half where we had just the one car company, second half, three cars.  Obviously, with Polestar 3 and 4 joining over the course of this year, the volume proportion that the Polestar 2 has to take in our holistic sales is less than what the car had to perform in 2023. So that gives us of course a much greater chance to work with the car in a very favorable and good way.  So we will see, as we said, a growth of volume in 2024, which is I think a very nice differentiator to a lot of others. And of course, that is due to the fact that we invested in that, this product portfolio is coming alive and 3 and 4 join and we can enjoy that kind of volume growth, purely because we have now these three cars in our toolbox. 
Per Ansgar: I think to add to that one, I think it's also very interesting to see that when we now launch the new cars, the interest of Polestar 2 also starts to pick up. We saw when we launched Polestar 4 here in Europe, on our website and on our configurators, and people were putting in orders on Polestar 4, we definitely also saw more interest in the Polestar 2 with test drives and order picking up and so on. So we expect the Polestar 2 to benefit from the launch of the other cars, because more people will just see that Polestar is a very nice brand. 
Winnie Dong: Thank you very much for that. And then my second question is on the gross margin directional guidance you have for the year, reaching double digits by the end of this year and then high teens in 2025. I guess first, on the double digits toward the end of this year, I understand the coming on of the higher margin vehicles is going to help with that. Is there any other drivers maybe on the cost side that you can also explain to that helped you get there end of this year and into next year? Thanks.
Per Ansgar: No, that's a good question. Obviously, the SUVs generally have higher gross margins than other cars. So it's like that is one of the main drivers, but we also have worked quite a lot with how the revenue, how we package the cars in terms of options and packs etc., so that will improve our revenue. We are also working very hard on the product cost that will also support.  The other thing, which is also very important going into our sales and marketing strategies, we are also working very hard to really find what I call the right sales channel to really make sure that we sell cars where the most profitable customers are existing. So all of these three things will add to it. [Multiple Speakers] 
A - Thomas Ingenlath: Yes, totally. You should really put into that equation as well the start of production of Polestar 3 in Charleston. Let's face it, being in the U.S., producing for the U.S. of course gives the Polestar 3 as well a complete different base when it comes to duties and stuff. That of course is a good factor. 
Winnie Dong: Thank you very much. 
Operator: Thank you. [Operator Instructions] And the next question comes from the line of Itay Michaeli from Citi. Your line is open. Please ask your question. 
Itay Michaeli: Great. Thank you. Hi, everyone. Just actually want to follow-up on the gross margin question. I was hoping you could maybe provide a little bit more detail on kind of what you are assuming for your current general EV pricing by the end of the year versus now, as well as roughly what kind of sales mix you are assuming across the portfolio, percent of Polestar 3 and Polestar 4 perhaps, as well as roughly if you can share any kind of high level thought on the regional mix, kind of that you are assuming to get there. 
Per Ansgar: I can start a little bit on that one. Obviously, we talked about Polestar 2. They are kind of like being there on similar levels through the year. And then we add on the Polestar 3 and Polestar 4. They have of course, significantly higher mixes, so that will definitely help. And yeah, I would say that, of course, if you have the same level of Polestar 2, you will see that the increased volumes then will basically be done on the Polestar 3 and Polestar 4’s obviously.  From the regional mix, we see that we don't really have a lot of sales last year in China. So that will be a pickup. My view is that Europe will be a very important market and also the U.S., and especially as Thomas said, when we start to produce Polestar 3 in Charleston, that is a really good call for the U.S. market and being produced in Charleston with no duties, etc. That will be a significant improvement on our gross margins and mixes. 
A - Thomas Ingenlath: We have for 2025, that mix of 40-30-30 in mind, which is Europe 40, 30 U.S., 30 China, and 2024 will be the transition year towards that. When we come from a situation in 2023, where obviously Europe was an overwhelming portion, China very, very little, and then U.S., there is kind of this constant 30%. So it's a transition year where we go towards this 40-30-30. 
Itay Michaeli: Perfect. That's all I think. Thank you. That's very helpful. 
Operator: Thank you. Now we're going to take our next question. And the next question comes from line of Dan Levy from Barclays. Your line is open. Please ask your question. 
Dan Levy: Hi. Good afternoon. Thank you. Thank you for taking the questions. I wanted to follow-up, and I think you made comments earlier. Perhaps you could comment on the expected channel mix in 2024. Obviously, you've been a little more reliant on the fleet channel in 2023. I think you gave some media comments that you would reduce reliance. Maybe you could just comment on channel mix in 2024, mostly for Polestar 2, but any comments on dynamics for Polestar 3 or Polestar 4 as well? 
Per Ansgar: Yeah. Thanks for that question. Obviously, we have been from time-to-time dependent on larger fleet sales. That is a position where we are moving away from, as I said, we are improving our sales channel mix. We expect now when we launch cars in the U.S., Polestar 3, and later on also Polestar 4, which are very good for the U.S. market, they will get a lot of over customers in the lease channel, which is a normal way to sell cars in the U.S., which we think is a good margin.  In Europe, you have completely different setups. We have put in a lot more focus to really get to what we call smaller fleets, like small companies or medium-sized companies, where we sell three, four, five, 10, 20 cars, because that's where we can really get good margins on those customers. That has been a clear effort, especially in the European region, to get into that sales channel in a more clear way. 
Dan Levy: Okay. As far as the mix into the company fleets, which is a little different from something like rental car, how does the profitability of sales into company fleet, how does that compare to retail? 
Thomas Ingenlath: Not bad at all. It's very important that you make that difference, because indeed, this is actually a very healthy and good business. We have, I think, invested a lot of effort and manpower in actually establishing these contracts and be out there and be in a lot of company car schemes, because this is a very good and profitable business.  So that's where I think the strength of Polestar in Europe, where it comes from, because we have that understanding that a big, big portion of what you think is private customers actually reach through this company cars channels. And you have to be active and in these have contracts to be on the radar of these customers. 
Dan Levy: Understood. Then maybe we could just follow-up with the announcement from Volvo Cars earlier in the month. They are refocusing. Perhaps you could just give some parameters on how, if at all, this changes the operational relationship between yourselves and Volvo as far as the manufacturing, the platform sharing and the other resource sharing as well. Thank you. 
Thomas Ingenlath: Yeah, I'm almost tempted to make a complete distinction between the one thing, which is how much shares Volvo has in Polestar, and on the other end, our contracts, our arm's length relationship with Volvo when it comes to developing cars, manufacturing cars, and as well servicing cars. I mean, these are the three major areas where we, of course, have on both sides the intention to keep it flowing and continuous without any disturbance of the amount of shares that Volvo would have in Polestar.  I mean, it's almost strange to think, in the very beginning when we were listing Polestar, it was one of the stories to be told that Volvo's ambition is not to keep forever that big amount of almost majority of shares of 48%. It was almost a promise to the market to say that Volvo at some point would reduce their ownership and there would be a bigger free flow and more other investment possible into Polestar.  Now, this came maybe from a strange angle when it comes to communication wise, but it's the same effect. Our company growing up, opening for other investors the opportunity to invest into Polestar is one thing. Our relation when it comes to working together operationally with Volvo is untouched of that. We've just come from our regular alignment meeting where we go through our contractual business and stuff.  This is, of course, something which will completely continue and we have to give that confirmation to each and every our business partners, our customers. This is, of course, something which they can build on where we can build on. The business is well important for Volvo. They can build on having the revenue of servicing our cars, manufacturing our cars and when it comes from time-to-time, engineering our cars. We have already before ha, of course, as well other relationships. We have a Polestar 4 being produced in a Renault factory in Busan. We have, of course, big, big benefit of participating in the tech and innovation that's happening there within Geely. I think we would be very falsely advised if we would not embrace the speed and the power that there is on that side when it comes to electric technology and software and stuff.  So, that type of diversification of our relationships with other parties, not only doing things together with Volvo, but using a bit the broader Geely Group, I think that's absolutely a good and healthy and beneficial development for Polestar. 
Per Ansgar: I think it's important to add also that the cooperation with Volvo, which is very close, doesn't stop here. We, as Thomas said, we had our alignment meeting earlier today. We discussed some of the future steps of the development of the cars, future modular upgrades and so on, but we are also talking very more distinctly about what are the next steps in our commercial operation. Can we work together in some markets in the retailer network, and some of it being imported. So it's a continuous dialogue. It does not stop there. Also, from that perspective, no change at all. 
Thomas Ingenlath: Let's elaborate on that. I mean, you know that we have built our network in Europe, in the U.S., about – even despite the fact it was a direct sales model, but we always contacted, reached out to Volvo retailers and invited them to become Polestar investors. I mean investors in terms of investing into a Polestar space.  And that was a very good beginning. It has been successful for both parties, and when we now, with the three cars, with the volume growing, discuss expanding our network, our presentation in the markets, of course, we do that together with the Volvo dealers and they are our partners in going further in that.  So, this is just one example where hopefully people see that this is actually continuing to be a very fruitful cooperation with Volvo. 
Dan Levy: Great. Thank you. 
Operator: Thank you. [Operator Instructions]. And now we're going to take our next question. And the question comes to the line of Andres Sheppard from Cantor Fitzgerald. Your line is open. Please ask your question. 
Andres Sheppard: Hi. Good afternoon, everyone, and thank you for taking our questions. I just wanted to follow-up on the capital raise. I think we touched on this briefly, but would you mind just reminding us refreshing us? What is the expected outstanding amount that you'll need to raise still? And how are you thinking about timing for that? I know we touched on equity, but just curious on the timing and curious on the incremental amount that you think you'll need to fulfill. Thank you.
Thomas Ingenlath: And we're very happy to come back to this very important point today, because let's face it, that is for us a very important moment where we cover of the $1.3 billion that we have as the funding need, till we have cash flow breakeven, that we have covered $1 billion of that. Okay to be precise, $950 million. So you can do the math, what's left, and Per can answer all these about handling the rest. 
Per Ansgar: No, and of course, there are different angles to that one. Of course, we are looking through all the time, trying to see, can we improve our cash flow, limit our investments, etcetera to make sure that we are even limiting this gap.  Having said that though, as I said before, as the CFO, I would like to have more equity into the company, because we – over time we need to have a different structure with the balance sheet. So again, as we see the opportunity, we will take that and try to do some equity raising here to both, to make sure that we don't have this remaining need and also to strengthen our balance sheet. 
Thomas Ingenlath: I would love to pick one thing up here, and that is of course this question about the $1.3 billion. We have $1 billion of $1.3 billion covered, and then the elephant in the room, yeah okay, but is this $1.3 billion real? And I really would love to emphasize how serious we take that and how much when we develop – sorry, as a company and when we face the next month ahead.  For us, this is an incredible, serious and important task to keep this, maintain that wholly, that we say, ‘okay, this is the frame which we have, and that's where we work in.’ And all the billions that we invested, they of course are invested into good stuff, our product portfolio, the five cars that we will have developed to 2025. And this is very predictable, very predictable costs that we have, very predictable investments, and we know exactly 2024, 2025, what is still to be done.  Other factors, yeah, I mean other factors, sales volume and stuff, I mean yeah of course that can fluctuate, but this is stuff that we can handle and which will not create the big black hole that Per’s talked about. So we are very serious and very confident about this $1.3 billion. 
Andres Sheppard: Got it. That's super helpful. I appreciate all that, color. Maybe just as a quick follow-up, with the incremental 15% reduction in the workforce, I know you are not guiding OpEx for gross margins, but I'm curious, how should we be thinking about OpEx and gross margins for 2024, given this reduction in terms of maybe modeling? Thank you. 
Per Ansgar: If you do a little bit of the math, we did 10% last year, which can start to flow through from an ad-con perspective. This year, when we now do 15%, there is obviously a delay on it. It's like some markets or countries you can do it quicker. In Sweden, you need to go through a process with union negotiations and layoffs and so on. So you will gradually see that coming to the year and hence that we see that the later part of the year will be significantly stronger than the first half of the year. 
Andres Sheppard: Got it. Okay. Thank you very much. I'll pass it on. Thank you. 
Operator: Thank you. Now I would like to hand over to Bojana Flint for retail shareholders questions. 
Bojana Flint : Thank you, Nadia, and thank you to everyone who has submitted their questions. As usual, we're going to take top three. These are top three voted questions by retail shareholders. I'm going to read them out and then Thomas and Per will answer them.  So the top question was, share prices continue to be catastrophic. Despite Polestar 4 launch and strong TV advertising, there appears little hope for improvement. I'm sure this concern is shared by fellow investors. Please explain the causes and define a convincing plan for recovery.  Thomas, would you like to start? 
Thomas Ingenlath: Yeah, right. I'll take this one. Obviously, we strongly believe that our shares are undervalued. And whenever we talk about it, try to find out. It is of course – the very big thing was always the overhang with our question mark behind the funding.  And it's rarely that we had a question about our brand. So many people love our brand, who love our cars. There's always a question about, but the funding, but the funding. Now, I think that is of course, as much as it's important for us to have the money for the remaining investment, it's as well an incredibly important moment in order to give that opportunity for our share price to develop because that big question mark is gone.  Then we have the other effect, free float, was another thing that the free float of course is not sufficiently big. This will be a 6% plus for our free float. So we end up of course with at the end of the day, an 80% free float, which is a much healthier figure than we had before. So that should, of course, help us well and be a big game changer. Yeah, that's where my answer is for this one. 
Bojana Flint : Okay, great. Second question is, with recent changes in funding, do you think the previous statement of making a profit by 2025 is still achievable? And I think, Per, we talked about you maybe answering this, but profit, we have always guided to cash flow breakeven. So our answer is going to land on that. 
Per Ansgar: No, that's correct. Thank you, Bojana. What we said in our press releases and what we talked about today here is really that we are confident on achieving our 2025 targets on our volume guiding and on our gross margin targets.  And basically what we are also saying is that with the launch of the Polestar 3, Polestar 4 coming into production firstly, and then starting to be sold and hitting the roads during the second half of this year, we see that the gross margin and the volume will pick up very nicely. So leaving this year, we will more or less be on the trajectory to meet the 2025 targets. So we are confident of meeting that cash flow breakeven for 2025. 
Bojana Flint : Great, thank you. And then the third question is, what's the future of Polestar after Volvo exited as a partner? We have already had that question earlier. So it's not an exit and nothing changes? 
Thomas Ingenlath: No, again, just to clarify, Volvo, it's still our strategic partner. It's not an exit. Close collaboration continue. So I just use the time now and to extend on, go again back to the share price. 
Bojana Flint : Okay. 
Thomas Ingenlath: The two things that I said is one thing, but there's of course another thing. 2024, back to it, we will have the expense of our product portfolio. We have two high margin SUVs joining. In a time where it's very difficult for anybody to achieve, we will achieve volume growth. We will achieve margin growth.  I mean, that year will just simply be much, much more of a proof point of the asset light model that we have been promoting for such a long time. So, I think time will tell. I think that time has come 2024, that it becomes that much more as well in our figures and our financials readable, what kind of good company we are building here. So I hope that that will of course attract people to buy our shares. 
Bojana Flint : Perfect. And with this, we are done. Thank you very much for everyone who has joined the call, both on the call and the webcast. And we are always here with any additional questions that you might have. 
Thomas Ingenlath : Thanks a lot. Bye.
Per Ansgar: Thank you very much for taking the time. 
Operator: That does conclude our conference for today. Thank you for participating. You may now all disconnect. Have a nice day!